Operator: Welcome to the LeMaitre Vascular Q4 2013 Financial Results Conference Call. As a reminder, today’s call is being recorded. At this time, I would like to turn the call over to Mr. JJ Pellegrino, Chief Financial Officer of LeMaitre Vascular. Please go ahead sir.
JJ Pellegrino: Thank you, Chris. Good afternoon and thank you for joining us on our Q4 2013 conference call. Joining me on today’s call is our Chairman and CEO, George LeMaitre; and our President, Dave Roberts. Before we begin, I’ll read our Safe Harbor statement. Today, we will make some forward-looking statements, the accuracy of which is subject to risks and uncertainties. Wherever possible, we will try to identify those forward-looking statements by using words such as belief, expect, anticipate, forecast and similar expressions. Our forward-looking statements are based on our estimates and assumptions as of today, February 25, 2014, and should not be relied upon as representing our estimates or views on any subsequent date. Please refer to the cautionary statement regarding forward-looking information and the Risk Factors in our most recent 10-K and subsequent SEC filings including disclosure of the factors that could cause results to differ materially from those expressed or implied. During this call, we will discuss non-GAAP financial measures, which include organic sales and growth numbers, as well as operating income excluding taxes from the Affordable Care Act. A reconciliation of GAAP to non-GAAP measures is contained in our press release announcing the quarter’s results and is available in the Investor Relations section of our website, www.lemaitre.com. I’ll now turn the call over to George LeMaitre.
George LeMaitre: Thanks, JJ. Q4 2013 was a productive quarter. I’d like to focus my remarks on the following headlines. Q4 sales grew 21% to a record $17.9 million, our fifth straight double-digit quarter. Q4 XenoSure sales grew 42% to a record $2.1 million. In Q4, we opened an office in Melbourne, Australia, and we also hired our first Norwegian sales rep. And finally our fourth headline, in 2013, sales to China were $1 million and we plan to open a Beijing office in 2014. As to our first headline, we posted record sales of $17.9 million in Q4, 2013, a 21% improvement over Q4, 2012 and a fifth straight double-digit quarter. Organic growth was 12% in Q4, as our newly acquired Trivex System added $1.1 million of sales. There were four devices which provided the lion’s share of our organic sales growth in Q4; XenoSure, catheters, valvulotomes and shunts. Geographically, Europe and China led the way in Q4. Our Q1 guidance projects a sixth straight quarter of double-digit sales growth. As to our second headline, XenoSure has become our growth engine, posting 42% growth and a record $2.1 million in Q4 sales. Here are four reasons for this product’s success. Number one; XenoSure is used primarily for carotid endarterectomy, a procedure which often requires a carotid shunt. In 2013, we sold 28,000 Pruitt shunts and 49,000 XenoSure patches. These devices obviously enjoy significant synergy. Number two; vascular surgeons increasingly prefer to patch carotids rather than just seal up the incision. Patching leaves a larger diameter artery which carries more blood to the brain. Number three; vascular surgeons increasingly believe that bovine causes less infection. And finally number four; this is a simple match between a quality vascular device and a large vascular sales force. I hope you’ll pardon the analogy, but this has been like choc and peanut butter from day one. We estimate the worldwide patch market is $35 million and XenoSure has a 22% share. We project XenoSure sales will grow 33% to $10.3 million in 2014, and has become our third largest product line. We own XenoSure approvals in the U.S., Canada and Europe and plan to make 2014 submissions in China, Australia, New Zealand and Korea. Bringing XenoSure to Asia and the Pac room is important because we believe the trend towards patching and bovine is global. On the manufacturing front, the transition from Vancouver XenoSure to Burlington XenoSure is on schedule. In Q4, 2013 we manufactured and implanted our first Burlington XenoSure, and we are now scaling up production. We believe the transition will be complete in H2, 2014. As to our third headline, in January, we began selling direct to hospitals in Australia and Norway, the number nine and number three countries in terms of GDP per capita. We now sell direct to hospital in 19 of the 25 highest GDP per capita countries. As you expect, hospital level pricing is strong in both Australia and Norway. Our new Oslo sales rep will be leveraging our European infrastructure in Frankfurt, while our newly opened Melbourne office will stock and ship devices. If you have further interest in the details of our expanding footprint, we’ve inserted a slide into our corporate presentation on our website, which summarizes our 12 international distributor buyouts. We have generally acquired distributors at one-time sales and experienced significant post-acquisition growth. This has been a low-risk weighted boost sales growth. As to our fourth headline, we plan to open an office in Beijing in H2, 2014. We will not sell direct to hospital initially. Instead, this office will support our two current distributors and our two current products. We also anticipate receiving five more product approvals in China over the next three years. From a pace of zero China sales in 2012, we are pleased to post $1 million of sales in 2013. And while China sales will likely be choppy over the next two years, we are excited to be entering the third largest medical device market. And I’d now like to hand the call over to our president, Dave Roberts.
Dave Roberts: Thanks, George. I’d like to provide a brief update on the two acquisitions we closed in Q3; Trivex and Clinical Instruments. Sales if Trivex in Q4, 2013 were $1.1 million versus pre-acquisition sales of $600,000 in Q4, 2012. Q4 Trivex growth was driven mainly by China, were sales increased to $600,000 from $100,000 in the year earlier quarter. As you may recall, the Chinese regulatory approvals will lapse in the first half of 2014 and we anticipate re-approval in 2015. On the bottom line, Trivex has already begun to contribute positive cash flow. In the second half of 2014, we plan to bring Trivex logistics and packaging in-house, which would further increase its profitability. Turning to the Clinical Instruments acquisition. Related revenues are approximately 20% ahead of expectations. You may recall Clinical Instruments manufactures embolectomy catheters and carotid shunts, allowing us to build share in our second and third largest categories. Specifically, conversion of European hospitals to LeMaitre branded shunts has accelerated following this acquisition. And the acquisition was the main driver of 12% shunt growth in Q4, 2013. On the operational side, we expect to consolidate the Clinical Instruments factory into Burlington shortly. This should eventually result in cost savings and margin improvement. With that, I’ll turn it over to JJ.
JJ Pellegrino: Thanks, Dave. I’d now like to say a few words about our gross margin, operating expenses and guidance. Gross margin in Q4, 2013 was 67%, down from 71% in Q4, 2012, a result of higher production costs as well as sales mix. Our XenoSure start-up manufacturing in Burlington and our continued operation of the Clinical Instruments’ facility both negatively impacted margins, but our changing sales mix maybe the more important point. Sales to lower margin geographies such as China and other export markets totaled over $1.8 million in Q4, while XenoSure which carries a 50% gross margin continued to grow briskly. In addition, lower margin European growth was once again higher than domestic sales growth. In total, this less attractive sales mix reduced our Q4 operating gross margin by 3% to 4% versus the prior year quarter. Going forward, we expect to close the Clinical Instruments facility shortly, and Burlington made XenoSure will ramp significantly over the coming weeks. Both of these will improve the gross margin. With respect to sales mix however, we remain bullish on XenoSure export and European sales and they will apply some pressure on margins going forward. In summary, we believe our gross margin will recover to 68% to 69% for Q2 and then move into the 70% to 71% range for Q4, 2014. In Q4, 2013 we posted operating expenses of $10.8 million, 13% over the prior year, driven by increased administrative costs and higher selling costs. In an effort to combat these higher expenses, we have planned 10% workforce reductions. This includes an approximate 20% U.S. RIF, which was completed in February, closure of the Clinical Instruments factory and a potential international headcount reduction. We estimate 2014 savings of $2 million. This program may carry one-time charge of $200,000 to $400,000. In addition to the RIF, we will be implementing a cost reduction program. I hope this background helps to clarify our 2014 guidance as lower operating margins in Q1, 2014 are expected to improve market [indiscernible] quarters. We are guiding Q1, 2014 sales of $17.1 million, up 11% versus Q1, 2013 and operating income of $600,000. We are also guiding full year 2014 sales of $70.2 million, up 9% versus 2013 and operating income of $5.5 million. We will be presenting at several upcoming investor conferences. Cowen and Company’s 34th Annual Healthcare Conference on March 3 in Boston; the 26th Annual ROTH Healthcare Conference on March 10 in Dana Point, California; the BTIG Inaugural Snowbird Medical Technology and Healthcare Conference on March 18 in Snowbird, Utah; the Benchmark Company One-on-One Investor Conference on May 29th in Milwaukee, Wisconsin; the Wells Fargo Healthcare Conference on June 18th in Boston and the Canaccord Genuity 34th Annual Growth Conference on August 13 in Boston Massachusetts. With that, I will turn it back over to Chris for Q&A.
Operator: (Operator Instructions) All right. So it looks like you do have a question already coming in. Your first question comes from the line of Jason Mills with Canaccord Genuity. Please proceed.
Jeff Frelick – Canaccord Genuity: It’s Jeff filling in for Jason. Thanks for taking the questions.
George LeMaitre: Hi. How are you, Jeff?
Jeff Frelick – Canaccord Genuity: Good, thank you. I just wanted to focus on gross margins for a moment. I fully appreciate that there will be some puts and takes in the near-term as you work toward improving manufacturing efficiencies, but the decline in the quarter surprises a bit. And I just want to get a sense of where you feel gross margins would be after – probably in a year or two after 2014. And I guess put in other words, what would you consider to be the right gross margin level going forward?
JJ Pellegrino: Yes, thanks for the question and that’s an important one. So we’re not guiding further out into the future than I’ve already given you. I’m telling you sort of 68% to 69% Q2 and then getting up to 70% or 71% in Q4 of this year, but not going beyond that. But as I mentioned, the mixed piece of the equation is pretty important, and it’s become sort of 3% to 4% drag versus prior year in sort of what you’ve seen in prior quarters looking backwards a year or so. So that piece is something to watch, is driven by XenoSure growth, which has a 50% gross margin. It’s driven by sales to China, particularly Trivex box sales to China. And it’s driven by continued European sales growth in excess of sort of domestic sales growth. So to the extent that those trends continue, they’ll continue to push negatively on margins.
Jeff Frelick – Canaccord Genuity: Great. And what was your domestic organic growth profile in 2013, and what opportunities do you see for U.S. growth in 2014 and beyond?
George LeMaitre: Sure. The Americas for Q4 was 8%, Jeff. And for the year, it was 8% as well. I definitely feel like the strength in the business is coming internationally. It feels like we’ve invested a lot of money in setting up all these international subsidiaries and potentially you could say, we’ve put more reps overseas than we’ve put in the U.S. so potentially we could boost the growth in the U.S. that way. One nice thing that happened to us recently that starts April 1, which isn’t in the script, but we definitely like to focus on is we’re getting into GPOs. We signed our first GPO with Premier. And on that GPO, we have the biological patch XenoSure, as well as our Dacron PTFE. And that starts April 1. That will start to contribute. So we’re looking forward to having that help our growth much like it’s helped our German growth, where about 60% of our sales are now through GPOs.
Jeff Frelick – Canaccord Genuity: All right, great. Thanks for taking the questions.
George LeMaitre: Thanks, Jeff.
Operator: (Operator Instructions) All right. So you do have another one coming in from the line of Jan Wald with Benchmark.
Jan Wald – Benchmark: Hi everyone. Nice quarter.
George LeMaitre: Thank you, Jan.
Jan Wald – Benchmark: Maybe to go little bit more into gross margins. It seems as if U.S. sales were probably ramp not as much as the international sales. So there is going to be a fairly constant, would you say, pressure on the international – on the gross margins because of the international sales growth. And how then, are you going to improve gross margins over the next, I guess next year what you’ve already guided to [ph]?
Dave Roberts: So yes, Jan. So if those trends continue to add infinite and yes, that would be true, I would imagine at some point you start to go back to sort of tit for tat like we’ve seen historically when one geography does better and then the other one takes over and vice versa. Nonetheless in terms of immediate improvements, I guess I would say we will be closing the Clinical Instruments facility, which is probably going to operate through sort of the April timeframe or so. And when we get that closed, I think that will give a nice little boost to the gross margin line, maybe sort of 1% or so, in that range. There is a second item on the list of to-do is to improve gross margin, which is called ramp-up XenoSure production. So as you recall, we started training and creating and building patches here in Burlington that we had previously been purchasing, and that project is making good progress, and I think we’ll be ramping that up pretty quickly in the coming weeks and month. And to the extent that we do that, that will help gross margin as well, because we won’t have all the training and start-up costs going directly through the P&L. They’ll be going into inventory out of the balance sheet. So those two things should help a lot. And then don’t forget every year we get nice price increases, particularly in the U.S. and to a lesser extent in Europe. And so those price increases generally help sort of 1% to 1.5% maybe on the gross margin line year-over-year.
George LeMaitre: Jan, just to follow-up. This is George. A little bit on the XenoSure piece. I think the big good thing here is that we’re finally gaining control over the means of production for the XenoSure patches. And we never had that, it was always just the price that was handed to us by the folks in Vancouver. So now that’s over with. And when we really do get full control of it, my guess is somehow we’re going to get the margin of this device up. Although, I think it will take sometime. I don’t think it will happen in the 2014 period or even in the beginning of 2015, but I think overtime you’ll see us as always pretty aggressively attack the cost base on that product line, which is by then it will be the second largest product line in our bag. So it’s nice to have control over that, and we’ve never had control over it ever since we began distributing it in 2009.
Jan Wald – Benchmark: Well, that’s good to hear. I guess in the back of my mind was a question as to whether or not the U.S. market was penetrated or fully penetrated or close to fully penetrated. So you’re not going to see the growth in U.S. markets. You don’t feel that U.S. market is penetrated or close to it would get [ph].
George LeMaitre: No. And remember we have 15 different devices. So there is maybe the max market share in the U.S. is the valvulotome at about 60% units, but you got plenty of room in other categories. So no, I don’t think that’s true. It is true that more recently we’ve struggled in the U.S. versus – the number in Europe are extraordinary right now. Our organic growth rates for the past four quarters in Europe have been 19%, 25%, 23% and 28%. So we’re just on fire over there, and of course it carries a lower margin, and I think we’re all feeling that right now. But I’d like to spin it as a good thing, the reason we’re sitting here with a 21% reported growth rate in Q4 is because of what’s going on in the Europe as well as the acquisitions.
Jan Wald – Benchmark: And I guess, your SG&A spend was a little bit higher than we had anticipated initially. Should we expect that to continue, or there were lot of one-time things like training and stuff like that?
JJ Pellegrino: Yes, SG&A was up a little bit in the quarter. I think some of that is here to stay and some of that’s going to go away. We had incremental amortization from the recent acquisitions that brought SG&A up. And we’ve probably had some other items that are more onetime-ish, compensation-related items and maybe some outside service related items, some recruiting items, things like that that will go away fairly quickly. So I’m going to say half of that, sort of, that incremental increases is going to be around for a while and half of it sort of should fade away pretty quickly.
Jan Wald – Benchmark: Okay. And I guess my last question is in terms of meeting your revenue projections, are you anticipating haven’t you made some more acquisitions than you already, and how should we understand sales for this year’s organic does require [ph] acquisitions. What’s necessary to meet the guidance?
George LeMaitre: Right, Jan, so that’s $70.2 million. We’re giving you for the year is assuming no more acquisitions. That’s just the products we have right now plus the stuff that we might internally launch as you expect. If we do acquisitions, we’ll come back to you guys with a press release and will likely bump guidance.
Jan Wald – Benchmark: Okay, all right. Thank you very much and congrats on the quarter.
George LeMaitre: Thank you.
JJ Pellegrino: Thanks, Jan.
Operator: All right. Your next question comes from the line of Joe Munda. Please proceed.
Joe Munda – Sidoti & Company: Good afternoon, George and JJ. How are you guys?
George LeMaitre: Hi Joe.
JJ Pellegrino: Joe, great. How are you doing?
Joe Munda – Sidoti & Company: Good. Congrats on the quarter. Real quick here. George, you focused on Europe and what’s going on there. What is going on there and why is it ramping so much faster than the U.S.?
George LeMaitre: Right. First you can say, we’ve put a lot of resources into this and you guys hear us on the call going direct in Spain, in Denmark in 2011, going direct in Switzerland and let’s call Canada is international in 2013. You got Norway this year, you got Australia. These international markets have gotten a lot of focus from us, and we’ve got a lot of small bases that we’re growing rapidly. So that’s a big piece of it. The number of sales reps has gone up by four over the last five quarters over there, and it stayed the same in the U.S. as well as Japan. That’s the big piece of it. Probably the center of it all right now, Joe, though is that XenoSure grew 83% in Q4 over in Europe and it grew 23% in the United States and the Americas. And so as a result, you still knee deep in the middle of this XenoSure boom over in Europe. And to a certain extent, it slowed down to something resembling more normal growth rates in the U.S. On top of all of that, and we’ve said this a bunch of times, this is just us refocusing our assets over in Europe away from the stent grafts which we finally got rid of in the middle of 2011. So this is finally at all working out as we thought it would and it’s nice to enjoy the growth rates.
Joe Munda – Sidoti & Company: Now, George, what exactly is driving I guess greater adoption in Europe? That’s the crocks [ph] to why there are they adopting your product so much faster than here in the U.S.?
George LeMaitre: I would generally say that there is more open virgin territory over there and also that the XenoSure launch was two years later in Europe than it was in the United States. And when I say more open virgin territory, remember we are working through distributors particularly Switzerland, Spain, Italy, Denmark, let’s call it. And those distributors were selling many devices for many other companies and they weren’t paying attention to our products. When we finally got them out of there and we became the sales force in those countries, it was almost like – in Spain, it was almost like no one knew our products and we’re just going in brand new.
Joe Munda – Sidoti & Company: Okay.
George LeMaitre: So lots of virgin territory and XenoSure – you’re in the heart of the XenoSure, good times over there and a 23% in the U.S., it’s a little bit less right now.
Joe Munda – Sidoti & Company: Okay. And George, in your prepared remarks and statement, you put out 85 reps up for year-over-year. Any indication of where you’re going to be at the end of 2014. The number that you guys are putting up for the year for 2014 as far as guidance. It’s a nice growth number, and I am just wondering how you get there and how many reps is it going to take you to get there?
George LeMaitre: Not too many more. We’re thinking 90 above.
Joe Munda – Sidoti & Company: Okay. And with the bulk of that being in I guess Asia-Pac is an entry point [ph]?
George LeMaitre: I feel like you won’t get any sales reps per se in China even when we opened up the office. So a couple in Australia seems possible, filling-in in Europe seems possible, but as we’ve talked about a lot here, maybe sprinkling them back in the United States as well, but there is only five net gains, so they won’t go too many places, but yes.
Joe Munda – Sidoti & Company: Okay. George, I guess this is for you and for JJ. As far as R&D is concerned, I know you guys went out and bought – you made couple of acquisitions that was nice, but I recall I think at your Analyst Day, you guys also spoke about emphasizing the need to increase R&D and develop your own products. I am just wondering what the environment is internally as far as the R&D and the resources you are devoting towards that going forward?
George LeMaitre: Sure. Well, at the end of the Q4 we had 13 product development engineers, and that’s up by about one body from a year body, Joe. So we’re growing a little bit. The resources are fine. We’re excited about that. The five launches that we talked about or the five things that we’re working on pretty heavily right now were in the middle of a bunch of changes with our core valvulotome, you’ve heard the 1.5, but there is also luminals [ph] and the hydro and I won’t bore you with the details on that, but those are variance on our valvulotome. We’re working hard on a shunt flow monitoring system on our shunt. We’re working on a biological graft. We’ve got some catheter product fill-ins as well. And then I am forgetting the fifth one. And then we’re working on the AnastoClip platform. We’ve always felt like there were a couple of easy fixes to the AnastoClip. So those would be your five devices that we’re working on in 2014. And you’ll get – some of them will launch in Q1 and some of them won’t launch till very deep in Q4, but that’s the direction of the R&D department. I will call them singles and doubles and fixes the existing platform.
Joe Munda – Sidoti & Company: Okay. I was wondering is there another XenoSure somewhere in there?
George LeMaitre: Well, we keep mentioning those biological graft products. It’s a long way out. It’s a long regulatory road to hoe, but something like that might be sort of sister item to the XenoSure, but it’s a long way away. And it’s basically – right now we’re selling the patch made out of biological material. This would be selling a tube somehow made out of biological material.
Joe Munda – Sidoti & Company: Okay. And then JJ – thank you for that George, I’m sorry. JJ, some housekeeping items. CapEx for the year as well as operating cash flow?
JJ Pellegrino: CapEx for 2013 was about $2.4 million or so. And what was your other question?
Joe Munda – Sidoti & Company: Operating cash flow?
JJ Pellegrino: So if you’re – how you want to define that. Cash was down $1.7 million in the year, and so net income was about $3.2 million. And cash from ops was about $1.5 million. And then with the CapEx and the acquisitions, that was about high 5s, $5.8 million, $6 million in investing and then maybe a little bit under $1 million of financing stuff. That gets you down to $1.7 million.
George LeMaitre: EBITDA was $8 million.
Joe Munda – Sidoti & Company: I’m sorry, what was it? EBITDA was $8 million?
George LeMaitre: Sorry, EBITDA would be $8 million if you go up to $5.5 million for next year. I think EBITDA was $7 million this year, JJ, something like that?
JJ Pellegrino: Yes, $7.5 million or so.
George LeMaitre: $7.5 million Joe for EBITDA.
Joe Munda – Sidoti & Company: Okay. That’s helpful. I guess that covers everything except – and I hate to harp on this, but I know you spoke a lot about gross margin here. So JJ, let me get this correct here. Basically the moves from Vancouver to Burlington as well as I guess the other two acquisitions that’s...
JJ Pellegrino: Clinical Instruments.
Joe Munda – Sidoti & Company: Yes. And that’s what’s impacting the gross margins, but I guess typical of past acquisitions that you guys have made, it seems like those things will work through your system and the gross margin should return to the normalized 70% level. Is that what I am understanding?
JJ Pellegrino: Sort of yes. Those are generally true statements, although the timing varies. The Clinical Instruments piece should help you sooner rather than later, and the XenoSure piece will sort of come in and out in terms of help. It will be a little bit chunky on the XenoSure piece, but yes, we’ll help you over the medium term, and probably in the short-term as well. But then the larger piece, Joe, which is, the mix has changed, and so to the extent that we sell to China, and to the extent that we sell more export and/or more capital equipment to the extent that Europe does better than the U.S., those are all things that have dragged down the margins and probably will continue to over the coming course.
Joe Munda – Sidoti & Company: Okay, thank you.
Operator: All right. So it looks like you have another question. Next question comes from the line of Jason Zhang with Edison Investment.
Jason Zhang – Edison Investment: Thanks. I have a couple of questions. One is, George and JJ, I guess both of you can answer. The 12% organic growth, if you divide that up between volume and price, what is the split there?
George LeMaitre: Sure. About 30% of that comes from price, Jason, and about 70% of that comes from unit growth. And the actual unit growth number for Q4 was 10% year-over-year unit growth.
Jason Zhang – Edison Investment: Okay. Do you expect that to be the trend for this year – price increase is pretty healthy, and I assume that you would hope that is from the U.S.?
George LeMaitre: Sorry Jason, could you pose that question just one more time?
Jason Zhang – Edison Investment: Right. I just said, the price increase is pretty healthy, and my question is, do you expect that to be the trend for 2014, and also the pricing is – whether the majority of the growth of pricing increase is actually from the sales in the U.S.?
George LeMaitre: Right. So and answering the end of your question, yes, it generally comes from the U.S. I would say, we put across about 4% price hike in the U.S., and it’s more sort of like 1.5%, 2% over in Europe. So yes, it’s more of American phenomenon. And our revenues comes 66% out of the U.S. and 33% OUS. So that is one time. And then you asked, does the proportion stay the same of dollar pricing increase versus unit growth? And generally over these phone calls for the last three or four years, it’s been roughly 30% price hike and 70% unit growth. I haven’t really dug into what the 2014 number is like, but I would say for the purpose of this discussion we could say, yes, it seems like that proportion would hold.
Jason Zhang – Edison Investment: Okay. The next question is I remember during the Analyst Day you don’t expect the Obama Care implementation or anything that is going on will impact your business, and now you have the Q1 numbers guidance there. And that probably doesn’t have anything related to that, or have you seen something in the marketplace that make you pick some account into that, some changes because of the implementation of the law?
George LeMaitre: Right. I mean I hope I didn’t say that I didn’t think Obama Care would ever affect us because clearly it’s the biggest piece in the healthcare legislation in the last 40 years. So it’s going to have a big impact in a long-term, Jason, in my opinion, but in the short run we haven’t seen it affect us that much. We don’t think.
Jason Zhang – Edison Investment: Okay.
JJ Pellegrino: But to be clear, Jason, we’ve paid $650,000 in taxes, sort of the Affordable Care Act tax last year in 2013.
Jason Zhang – Edison Investment: Right, but again you pay that every quarter, right?
George LeMaitre: Yes.
Jason Zhang – Edison Investment: Okay.,
George LeMaitre: And we’ll say that – except for the financial results of the business, we haven’t seen Obama Care affect our business. If you extracted Obama Care, the taxes we pay off income would have grown 45% Q4 to Q4.
Jason Zhang – Edison Investment: Okay, very well. Thank you.
George LeMaitre: Thanks, Jason.
Operator: All right. So it looks like you have another question. Next question comes from the line of Chris Lewis. Please proceed.
Chris Lewis – ROTH Capital Partners: Hi guys, good afternoon.
George LeMaitre: Hi Chris.
JJ Pellegrino: Hi Chris.
Chris Lewis – ROTH Capital Partners: First, I’m not sure if you typically break this out, but what’s your 2014 guidance assumed for Trivex and Clinical? I guess I’m just trying to get to organic growth rate for your 2014 guidance?
George LeMaitre: Right. You know what? We don’t break it up by a product line. I do feel like we have been pretty aggressive about trying to feed you guys organic growth numbers. And so the organic growth rate that we think we see given all the FX etcetera is 7% in Q1, JJ, and 6% for the year, Chris.
Chris Lewis – ROTH Capital Partners: Okay, good. And then for the Trivex side of the business, can you remind us which portions of that product line go off the market this year in China and the timing for those products?
George LeMaitre: Sure. So the capital equipment went off the market January 15. As we expected, it lapsed. And in June, their disposables lapsed. So you can expect some amount of sales of those disposables right before it lapses, and we think as per the plan that’s always been in place, we’ll get those re-approvals sometime in 2015.
Chris Lewis – ROTH Capital Partners: Okay. So just looking at the 2014 revenue guidance and it seems like maybe a little choppy with that in China, so it may change kind of the normal seasonality of the business a bit compared to other years. How should we think about revenues trending from quarter-to-quarter?
George LeMaitre: Right. I think it’s a big piece of understanding LeMaitre in the 2013 to 2015 period, you have to understand in 2014, even though we’re going to set up an office in China, sales should be lighter in China this year than they were last year, because the big capital equipment approval last January 15 as we all expected to. So we put a lot of revenues into Q4, 2013, which probably won’t reappear in 2014. I think is the big piece of understanding it. And that’s why we do focus on the choppiness of the Chinese revenue. Is that answered your question, Chris?
Chris Lewis – ROTH Capital Partners: Yes, that’s great. Thanks. And then you mentioned the cost reduction program and the headcount reduction. Can you just provide some more detail on that? What was behind those decisions, and how does it layer into the operating leverage expected this year?
George LeMaitre: Right. So it was pretty-broad based. There was 21 in the U.S. that have been let go and then with sort of wrapping in this factory closure as well where there is another 10 or 11 employees. And there should be or maybe a few Europeans as we go forward here. If this is just – we haven’t done this in long time, but it’s just a response to when we see our revenue line getting sort of out of kilter with the expenses here, this is one of the things we’ll do. We’re pretty committed. I think we feel like we’re the guys who grow sales 10%, and we’re the guys who grow op income by 20%. And so as we look down the pipe at 2014, we start thinking this is probably something we got to do sooner rather than later. And so the risk is behind us in the United States and the plans are all set and done for the factory closure, and that will happen presently here.
Chris Lewis – ROTH Capital Partners: Okay, great. And then on XenoSure, you mentioned submission is expected this year in Australia and China. I guess when can we expect approval for that product in those markets, and how does it expand I guess the market potential for that product overtime?
George LeMaitre: Right. So the approvals for New Zealand and Australia I think will happen relatively quickly. Maybe New Zealand, you get this year. Maybe Australia, you get next year. I feel like China and Korea are much longer gestation periods and maybe you’re talking two years on those guys post-submission. How it affects us? China is the number three medical device market in the world. So I think it’s pretty clear you want to be on the market there. We haven’t really even gone into what the projections on the revenues there would be, but PAC room Asia will be a bigger and bigger slice of what LeMaitre does. Right now it’s already about 8% of our sales. And maybe as we get China up and going, it becomes a bigger chunk of what we do.
Chris Lewis – ROTH Capital Partners: Okay, great. Thanks.
George LeMaitre: Thanks a lot, Chris.
Operator: All right. So it looks like you do have another question. Your next question comes from the line of Larry Haimovitch with HMTC. Please proceed.
Larry Haimovitch – HMTC: Good afternoon everyone. I don’t have any questions at this point. So many great questions have been asked. I’ve been enjoying all the questions and answers. And I’m just going to say congratulations and keep up the good work.
George LeMaitre: Thanks a lot, Larry.
Operator: All right. Well, it looks like there are no further questions at this time.
George LeMaitre: Okay. And Chris, does that mean we’re going to conclude the call here. Is that where you’re going?
Operator: Yes, it does look like, but I was just wondering if you had any final remarks you’d like to make before I do that.
George LeMaitre: I think we’re all set from our side, Chris.
Operator: All right. Thank you. So ladies and gentlemen, that does conclude today’s conference. Thank you all for your participation. You may now disconnect and everyone have a great day.
George LeMaitre: Thanks a million, Chris.